Operator: Good afternoon, and thank you for standing by. Welcome to Forrester's Second Quarter 2024 Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to Vice President of Corporate Development and Investor Relations, Ed Bryce Morris. Please go ahead.
Ed Bryce Morris: Thank you. And hello, everyone. Thanks for joining today's call. Earlier this afternoon, we issued our press release for the second quarter 2024. If you need a copy, you can find one on our website in the Investors section. Here with us today to discuss our results are George Colony, Forrester's Chief Executive Officer and Chairman; and Chris Finn, Chief Financial Officer. Carrie Johnson, our Chief Product Officer; and Nate Swan, Chief Sales Officer, are also here with us for the Q&A section of the call. Before we begin, I'd like to remind you that this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the Company's current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. And the company undertakes no obligation to publicly update any forward-looking statements whether as a result of new information, future events or otherwise. Lastly, consistent with our previous calls, today we will be discussing our performance on an unadjusted basis, which excludes items affecting comparability. While reporting on an unadjusted basis is not in accordance with GAAP, we believe that reporting numbers on this adjusted basis provides a meaningful comparison and an appropriate basis for our discussion. You can find a detailed list of items excluded from these adjusted results in our press release. And with that, I'll hand it over to George.
George Colony: Thank you, Ed. And I'd like to welcome everyone to Forrester's second quarter 2024 investor call. I will cover the following four themes before turning the call over to Chris Finn for our financial update. Number one, Forrester's Q2 financial performance; two, Forrester Decisions and the enhancements we're making to the product; three, our second quarter events; and four, changes in Forrester's management team and Board. Turning first to second quarter performance. While total contract value or CV showed a decrease of 3%, we beat our CV bookings plan in the quarter, representing growth of 5% year-over-year. These results were driven by improved renewal rates of Forrester Decisions, a greater-than-expected volume of cross-sell deals, and improving new business flow from both vendor and enterprise user clients. As a result, wallet retention increased by one point to 89%. Despite positive movement in contract value bookings, Q2 revenue was down 10% year-over-year, primarily driven by underperformance in our Events and Consulting businesses. We continue to stay on track converting contract value over to Forrester Decisions. In Q2, 73% of our CV was in Forrester Decisions, up from 70% at the end of Q1. We remain on plan to hit our target of 80% of CV in Forrester Decisions by year-end. As contracts convert, we are seeing an increase in the percentage of deals that are multiyear. 68% of FD contract value is now two or more years in length. These longer terms make sense for clients as their initiatives and transformation projects span a series of years. For Forrester, multiyear deals are beneficial as they renew at higher rates and give the company a more predictable flow of revenue. Our long-term goal is to move 80% of our FD research contracts to multiyear. We are becoming increasingly confident that our research CV business is stabilizing, and we expect to show modest net contract value increase, or NCVI, by year-end as we exit the Forrester Decisions transition. I would now like to give you an update on our ongoing product enhancements. In Q2, we made our generative AI tool, Izola, available to all clients of Forrester Decisions. The Izola prompt is now the third most common action taken by clients, behind selecting a report and conducting a traditional indexed search. The percentage of questions that Izola answers from a single prompt reached 91% in Q2, up from 86% in Q1. And here are a few client quotes. And this first one is from a VP of supply chain. "There's so much research and assets and goodness from Forrester. Izola helps me carve through all of that to find exactly what I want." And here's a quote from a VP of customer experience. "Before Izola was launched, I spent hours trying to remember where I had found a nugget of information in your research. Instead of having to go back and thumb through research, I can now just type my question to Izola and the right research will pop right up for me." We continue to enhance Izola, adding question-and-answer history logging two weeks after the full launch. I believe that Gen AI will make our research more accessible and useful for our clients. It is the most important change in our business since the web in 1991. Now the company is not only leading in the use of AI, we are aggressively expanding our research coverage of the technology for our clients. In Q2, we published a comprehensive evaluation of large language models. The AI Foundation Wave breaks down LLM offerings strategy and market presence across 21 criteria for 10 providers. This evaluation is the first of its kind from any major research firm, and it brings clients critical insight as they begin to build out their first Gen AI applications. Available for just two months, it is already in the top 15 most-read Forrester reports year-to-date. Now as investors know, Forrester Wave, which evaluates over 1,000 vendor offerings per year, are a central pillar of the Forrester Decisions' value proposition. Technology purchases constitute significant long-term financial risk for large companies. The Wave de-risks those decisions. In Q2, the Wave was enhanced with a new interactive tool, enabling our clients to clearly see each Wave's evaluation criteria, scale explanations and scores. Clients can customize Wave findings based on their company priorities to easily compare vendors and create shortlists based on their specific requirements. This new tool is driving platform use and bringing added value to our clients who rely on Forrester Wave for an assessment of the market. Reprints are an important ancillary business to research, and we have built a new platform to administer and distribute this product. Our newly launched Reprints hub will allow clients to easily manage their licenses within the core digital forrester.com platform. Switching to our new in-house platform brings us operational efficiencies and cost savings, and it has enabled the creation of a new product, Flexible Reprints, which launched at the end of the second quarter. The continuous improvement of our contract value products is having an impact. Twice a year, we administer a client satisfaction survey, and in Q2, the results of that survey ticked up by three points, a significant swing. Improved products and increased customer satisfaction set the stage for higher renewal, enrichment and new business rates, which will result in strong contract value growth. In Q2, we held our two largest events, B2B Summit in Austin and CX Summit in Nashville. Both events scored at high levels for content, value and experience. Valuable case studies were presented from a number of companies, including Prudential, Nedbank and IHH Healthcare Singapore. While our content and value delivery excelled, we did not meet our sponsorship targets for either event, and this will have an impact on our full year revenue. I'd like to end my remarks with some recent additions to the Board and the leadership team. At our Board meeting last week, I introduced two new members: Cory Munchbach and Bob Bennett. Cory is the CEO of the customer data platform BlueConic. She is a former Forrester analyst who covered business and consumer tech trends and the mar-tech landscape, whose expertise will help us in the B2B marketing space. Bob Bennett is a serial entrepreneur and inventor, most recently the CEO of payments company EngageSmart, which Bob founded and took public. Bob has been a relentless driver of annual recurring revenue in the software space, and valuable to us as we look to drive CV growth. Both Cory and Bob will be excellent representatives for shareholders. Turning to the management team. We announced the appointment of Jobina Gonsalves as our new Chief People Officer in Q2. Jobina has more than 20 years of global HR experience across Asia, Europe and North America. She is a great addition. And now I'd like to turn the call over to Chris for a full update on our financial performance. Chris?
Chris Finn: Thanks, George, and good afternoon, everyone. We saw positive signs in our CV business in the second quarter as CV bookings exceeded our plan, revenue performed in line with expectations, and retention metrics improved modestly from Q1. However, the non-CV portion of the business continues to be challenged. Our Events business underperformed in what is our largest Events quarter, and the headwinds we have seen in Consulting continue. Although we believe these headwinds are transitory in nature, the challenges of our non-CV businesses have led us to lower our financial guidance for the year. Despite the mixed results, we are encouraged by the continuation of positive trends in our CV business from Q1 into Q2, including reaching 73% of CV in Forrester Decisions, an ever-growing contribution of multiyear deals, and the ongoing improvements in our retention metrics. Our continued go-to market work involving sales, marketing and customer success is starting to pay dividends from a pipeline, new business and renewal perspective. This gives us renewed confidence in our ability to deliver flat to slightly positive CV performance by year-end. CV declined 3% in Q2, a slight improvement from the 4% decline in Q1. And overall revenue decreased 10%. For the total company, we generated $121.8 million in revenue, compared to $135.6 million in the prior-year period. In terms of our revenue breakdown for the quarter, research revenues decreased 5% compared to the second quarter of 2023, with revenue from our subscription research products down 1%, coupled with declines in our reprint and our other smaller and discontinued products. Overall client retention of 73% and wallet retention of 89% improved slightly compared to Q1, while Forrester Decisions specific client retention of 81% was down slightly and wallet retention of 90% improved versus the first quarter. As we complete the Forrester Decisions migration in 2024, we expect retention metrics to slowly improve throughout the year. Although overall client count is down from the prior quarter, Forrester Decisions client count continues to grow, and Forrester Decisions client retention remains well above overall client retention by approximately 8 points. It should also be noted that even though client count is down, CV per client continues to grow. And with the cross-sell and up-sell opportunities inherent with the Forrester Decisions platform, we believe CV per client will continue to grow meaningfully into the future. We remain on track for our Forrester Decisions migration plan, and we now have approximately $237 million of CV or 73% of total CV on the platform. We are targeting approximately 80% of total CV on Forrester Decisions at year-end. The remaining 20% will be in the non-Forrester Decisions products like Reprints and our Feedback Now business, as well as less than 5% in the legacy research products. Our Consulting business posted revenues of $24.8 million, which was down 17% compared to the prior year. Both the Consulting and Advisory product lines had a challenging quarter. Macro headwinds impacting our Consulting business will continue throughout 2024. These headwinds are causing our clients to put off buying decisions and limit their discretionary spending on Consulting. And finally, regarding our Events business, we held four events in the second quarter and posted revenues of $13.4 million, representing a decrease of 25% compared to the second quarter of 2023. The Events challenges were primarily driven by sponsorship declines and, to a lesser extent, lower ticket sales. We saw conditions worsen in Events from our prior outlook, and we are being cautious with our revised outlook for both Consulting and Events for the remainder of the year. This is the cause of the adjustment to our guidance this quarter. Continuing down our P&L on an adjusted basis, operating expenses for the first quarter decreased by 5%, primarily driven by lower compensation and related costs. Specifically on headcount, for the second quarter, we were down 8% compared to the same period in 2023. We continue to monitor headcount, hiring and attrition very closely. Operating income decreased by 30% to $17.9 million or 14.7% of revenue in the current quarter, compared to $25.7 million or 19% of revenue in the second quarter of 2023. Lower operating income and margin were primarily driven by the revenue declines in our Consulting and Events businesses. Interest expense for the quarter was $0.8 million, up slightly versus the second quarter of 2023. Finally, net income and earnings per share decreased 29% and 28%, respectively, compared to Q2 of last year, with net income at $12.9 million and earnings per share at $0.68 for the current quarter, compared with net income of $18.1 million and earnings per share of $0.94 in the second quarter of 2023. Looking at our capital structure, during the first half of 2024, cash flow from operating activities was negative $2.3 million and capital expenditures were $2.3 million. Cash flows were negatively impacted by the payment of the litigation settlement last quarter, as well as severance payments under our restructuring plans. We had $110.8 million of cash and investments as we exited the quarter. We repurchased approximately $3.9 million worth of shares in the quarter. This leaves approximately $88 million of our stock repurchase authorization intact. As noted earlier, guidance for 2024 has been updated, so let me provide some additional commentary on the outlook for the year. Revenue is now expected to be in the range of $425 million to $435 million. This guidance assumes the outlook for the research business remains unchanged with a mid-single-digit decline, a decline in our Consulting business in the low 20s, and a decline in our Events business in the high 20s for the year. Operating margins are now expected to be in the range of 8.5% to 9.5%. Interest expense is expected to be approximately $3 million for the year. We are continuing to guide to a full year tax rate of approximately 29%. Taking all of this into account, we are now expecting earnings per share in the range of $1.37 to $1.57, down from our previous guidance of $1.50 to $1.70. As expected, 2024 is proving to be a challenging year as we finish the Forrester Decisions migration amid an uneven macroeconomic backdrop. We're starting to see some positive signals as we progress through the first half of 2024, specifically within our core research business. The ongoing improvements to the Forrester Decisions product, the importance of generative AI disruption, and the go-to-market enhancements are setting the stage for growth in 2025. We believe in our product strategy, the value of Consulting and Events to drive retention and new business, our ability to guide clients through technology change, and the long-term trends supporting the business. Thank you all for taking the time today. And with that, I will hand the call back to George.
George Colony: Thank you, Chris. Before we go to Q&A, I'd like to reiterate the main themes. Number one, our CV business is stabilizing. Number two, the Forrester Decisions transition is on track, and we expect it to be complete by year-end. Three, there were a number of product innovations, led by Izola. Four, Events in Q2 scored well in content but fell short in sponsorships. And five, two excellent new members have joined the Forrester Board. Thank you for listening, and I will now hand the call over to the operator for Q&A.
Operator: [Operator Instructions] And I show our first question comes from the line of Anja Soderstrom from Sidoti. Please go ahead.
Anja Soderstrom: Hi. Thank you for taking my questions. You have a lot of internal transitions going on this year. So how dependent are you in the macro environment to improve to show some revenue growth in 2025?
George Colony: Your question was, are we looking for macro to change?
Anja Soderstrom: Yes. How dependent are you for that to change, given you're transitioning and the expansion you have with existing clients -- seems like you have a lot of internal things going on that could help you in 2025. So how dependent are you on also the macro environment improving?
George Colony: I think somewhat, I mean, this is going through a transition like this, Anja, has been -- it's always difficult, but doing it in this economic environment has made it much more challenging. That being said, I think there are glimmers around the edges. I know on our Board meeting there was talk about the U.S. looking better, Europe looking maybe a little bit worse. But I think we're going to see some rate cuts here in the second half of the year, and I know Chris has stronger views than I do on this. But some rate cuts in the second half of the year and early in 2025. And that's going to -- I think that's going to help the general economy. It's going to help us. That's my...
Chris Finn: Yes. I agree with that, George. I would think, in general, though, look, given this challenging environment, I don't think it's really changed significantly. I think it's still tough out there. But to your point, we're making a lot of addressing, a lot of issues on our end, and the work that the go-to market team and Nate and the sales organization has made, I think, are helping tremendously. We're starting to see some of that positive result and positive results from a CV perspective. But it's early yet, and so -- but nothing that we're doing right now from a forecast perspective is relying on anything changing in the macro environment. I mean this is just continuing to delve into the issues and try to find growth where we can.
George Colony: And the tech economy, Anja, is still recovering, no doubt about that, even the large -- for the large vendors.
Anja Soderstrom: Yes. And how is the government clearance coming along?
Nate Swan: We feel very -- Anja, it's Nate. We feel very confident in our plan with the government. We're seeing, not just U.S. but around the world, we have opportunity to earn that business. It's obviously a big quarter in the U.S. for the federal government in Q3. Feel like we're well positioned and are expecting big things from that team this quarter. So really excited, and excited about what we're seeing across government around the world.
George Colony: We're hearing from government teams, Anja, that they want an alternative in the research space. And so we've been engaging on that.
Anja Soderstrom: Okay. Sounds exciting. And then in terms of the Events business, it seems like that was a bit of surprise maybe, mostly on the sponsorship side. What are you hearing there? And what do you think the reason is for that? And what kind of initiatives are you taking for next year to improve that?
Carrie Fanlo: I'll take that. Anja, it's Carrie. The sponsorship business, as you can imagine, is 100% tied to the high-tech industry. And as we saw companies look to get more value out of, obviously, what we talked about as already a very good event, I think we struggled a bit to react to a more challenging sales environment there, more of a solution sell on that event, similar to what we've seen in the sort of core Forrester business. We do have new leadership in our event sales sponsorship business that has -- this leader has an outstanding track record of elevating the skills needed of a sponsorship team. So we're confident that we can adjust to the changing market, and the new leadership will help us get there, especially based off the strengths of the events experience that we're offering.
Operator: And I show our next question comes from the line of Vincent Colicchio from Barrington Research. Please go ahead.
Vincent Colicchio: Yes. Nate, I'd like an update on how you're feeling about the sales force. There's was a drop in the number of -- total number of salespeople in the quarter. Wondering if that's involuntary and then just wondering if you feel like you've got a strong, balanced sales force, or if the strength there is more concentrated in a few members.
Nate Swan: Yes, Vince. Great question. Thanks very much. Feel very good about the progress that we're making with the sales force. So we really focused in Q2, we had three specific messages that we were working on with the sales organization, building pipeline, number one. Rolling out our retention process across the organization, so lots of great work across the Forrester ecosystem, including customer success, the sales organization and the analyst community, to make sure we were delivering for our clients and get an operational retention system in place and structured. And then finally, we've rolled out our Forrester sales process to make sure that we are consistently working with more senior-level executives and connecting with them on the issues and initiatives that they're working on. All three of those, it was a lot of work, across the sales and sales operations, customer success, and really across Forrester, are operating really well. Very pleased with the progress that we've made. Pipelines are improving. We saw a 30% improvement in-quarter of our pipelines. We need to just convert that to growth. But the first step is actually getting it into the pipeline. So feel really good about that. The sales headcount is just normal attrition. We are stepping into our performance management. We hire really good people into the sales organization. We're trying to bring them back into the organization if they're not performing. And then some people will choose to opt out if it's not the place that they want to be. But our intention with our performance management program is to manage people back into the business and help them be successful. So we've been doing that. We're seeing a little bit higher attrition than we did in 2023, but that was expected going into this year. So, nothing outside of the plan. And we'll continue to bring in head count where we see a really good opportunity. So the plan is staying steady with that single-digit headcount growth throughout this year. So anything else I can clarify?
George Colony: Good candidates on the street though, right?
Nate Swan: That's a great point, George. We have seen some really good candidates. I know several of my regions have been commenting about the high quality that we're seeing coming into the organization, which is a big change from a couple of years ago where it was really difficult to find high-end talent.
Vincent Colicchio: Very helpful color. It was nice to see CV stabilize. And Chris, you had mentioned the outlook for CV in the next two quarters. I missed that. Did you say flat to up slightly?
Chris Finn: Yes. Well, for the full year, Vince, we expect CV to be flat to slightly up as we continue through the migration. We're confident in getting to 80% plus of our CV to be in FD by the end of the year. And from a heritage perspective, I mean, we're less than 12% at this point on heritage, and we're continuing to drive migration pretty significantly. And then for the high-risk portion, that sub-50, I mean, we're less than 4% at this point. And we expect overall heritage in general by the end of the year to be less than 5%. So we are really on track to be fully through the migration effort by the end of the year.
George Colony: Yes. And Vince, the sub-50 is small vendors, below $50 million in revenue.
Chris Finn: Yes.
Vincent Colicchio: And George, are you seeing the effectiveness of Izola, it sounds impressive, helping spur additional sales of seats?
Nate Swan: I'll jump in on this, Vince. I wouldn't say we can say there is a quantified number based on what we see with Izola, but our clients like it. We have a lot of valuable research, so to be able to cut through to exactly what they're looking for, it helps. We want people to access, use and come back. So the quicker they can get that, the more likely they are to engage with Forrester. Our sales people love to be prepared with it. So they go out to a meeting with a client and they use Izola to help prep on some of the issues and show how it can help them. And then, frankly, we've gotten a lot of clients that have come back to us and said, "Hey, we really like how you've done this within your business. We'd actually like to talk to your product tech team as to how did they actually make that happen so quickly." So we're seeing some really good signs from our clients and prospects that this is helping them. They're really interested in how we did this and made it work so quickly.
Carrie Fanlo: One thing I'll add, Vince, it's Carrie, is, as a reminder, Izola is only available to customers in Forrester Decisions and Forrester Market Insights, so the new portfolio. So it's also helping our sales discussions from a migration perspective. It's not available to our heritage clients.
George Colony: I think what's interesting, Vince, is that some of the heritage clients are saying, "Hey, can we get Izola with the heritage product?" And we're saying, no, you cannot. But the fact that they're even asking for it is a great sign.
Vincent Colicchio: And one last one. Chris, should we expect you to be proactive on the buyback activity in the second half?
Chris Finn: Yes. We're going to absolutely continue to look to be opportunistic about buybacks for the rest of the year as we watch performance closely, and that hasn't changed.
Operator: I'm showing no further questions in the queue. At this time, I would like to turn the conference back to Chris Finn, CFO, for closing remarks.
Chris Finn: Yes. I'd like to just thank everybody for joining us today. Any follow-up questions, please contact Ed and myself. Thank you very much.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.